Operator: Good afternoon, ladies and gentlemen, and welcome to the Momentus Inc. First Quarter 2022 Earnings Conference Call. [Operator Instructions]. It is now my pleasure to turn the floor over to your host, Darryl Genovesi, Vice President of Investor Relations. Darryl, the floor is yours.
Darryl Genovesi: Thank you, Tom, and good afternoon, everyone. Welcome to Momentus' First Quarter 2022 Earnings Conference Call. With me here today are John Rood, Chief Executive Officer of the Company and Chairman of its Board of Directors; as well as Jikun Kim, Chief Financial Officer. Each will provide prepared remarks. Following these prepared remarks, we will take questions from analysts. [Operator Instructions]. Earlier today, we issued a press release and made a slide presentation available on our Investor Relations website, which provides an overview of our business and financial highlights for the first quarter. You can download a copy of the release and presentation slides at investors.momentus.space.  During today's call, we will make certain forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 and Section 21E of the Exchange Act of 1934. Forward-looking statements are predictions, projections and other statements about future events that are based on current expectations and assumptions, and as a result, are subject to risks and uncertainties. Many factors could cause actual future events to differ materially from the forward-looking statements in this communication. You should listen to today's call with the understanding that our actual results may be materially different from the planned intentions and expectations disclosed in the forward-looking statements we make.  For more information about factors that may cause actual results to materially differ from forward-looking statements, please refer to the earnings press release we issued today as well as the company's filings with the Securities and Exchange Commission. Readers are cautioned not to put undue reliance on forward-looking statements, and the company specifically disclaims any obligation to update the forward-looking statements that may be discussed during this call.  Please also note that we will refer to certain non-GAAP financial information on today's call. You can find reconciliations of the non-GAAP financial measures to the most comparable GAAP measures in our earnings press release. None of these non-GAAP financial measures as a substitute for or superior to measures of financial performance prepared in accordance with GAAP.  The technology underlying our anticipated service offerings is still in the process of being developed and has not yet been fully tested or validated in the space. Our ability to execute on our business plan is dependent on the successful development and commercialization of our technology.  Development of Space Technologies is extremely complex, time-consuming and expensive, and there can be no assurance that our predicted theoretical and ground-based results will translate into operational space vehicles that operate within the parameters we expect or at all.  With that, I'd like to turn the call over to our Chairman and Chief Executive Officer, John Rood.
John Rood: Thank you, Darryl. Good afternoon. I'm delighted to be here today to talk to you about our first quarter and the progress that we've made since our last earnings call in early March of this year. We are on pace to complete our inaugural Vigoride demonstration flight this month. For that, I'd like to extend a heartfelt thank you to the entire Momentus team, which continues to drive progress toward our objective of providing the backbone infrastructure services to support the emerging space economy.  I'll provide some high-level comments on our activities since our last earnings call and particularly our progress toward our inaugural launch, both during Q1 and since the quarter ended, as there has been so much progress in the last 6 weeks. I'll then spend some time discussing our plan for that launch. After I make my comments, our CFO, Jikun Kim will take you through the Q1 financial highlights.  Turning to Slide 3. Overall, the team continues to make impressive progress on our technology as well as on the licensing and regulatory front. We've continued work to bring the Vigoride orbital transfer vehicle to market. During the first quarter, we completed system level thermal vacuum testing on the Vigoride 3 vehicle that we plan to fly in space on its inaugural mission this month.  Thermal vacuum testing is late-stage environmental testing that closely simulates the environment that the vehicle will encounter in space. In April, Vigoride 3 completed system-level vibration testing. This test, which is the last of our major ground-based environmental test simulates the environment that Vigoride will encounter when onboard the SpaceX launch vehicle. Our testing sequence is designed to uncover issues on the ground, where we can deal with them more readily and effectively than we could in space. Following our thermal vacuum and vibration tests, the team addressed issues that were uncovered and made improvements where necessary.  We went through a checkout sequence to ensure that the Vigoride 3's many subsystems were still functioning normally after being subjected to these environments. In April, we also conducted a flight readiness for view, integrated customer satellites and other hardware on the Vigoride 3 and shipped it to its launch site in Cape Canaveral, Florida. Vigoride 3 is now at Cape Canaveral, mated to the Falcon 9 launch vehicle that will carry it to orbit on the SpaceX Transporter-5 mission targeted for this month.  Turning to Slide 4. This slide has some great pictures that illustrate the progress we've made in preparing the Vigoride 3 spacecraft for its operation in space. The picture at the top left shows the spacecraft in our clean room in San Jose, sounds like California that is. The other photo has traced its journey through stages of testing in preparation for launch. We're excited to see the Vigoride vehicle integrated of the SpaceX Falcon 9 rocket that will take it to space and eager for its debut and space soon.  Turning to Slide 5. While our engineers have been busy getting Vigoride ready for our inaugural mission, our legal and security teams have been working hard to further implement the compliance tasks required under our National Security Agreement or NSA with the U.S. government. This includes screening all the licenses -- securing all the licenses and approvals that we need for our inaugural mission, which we have now done.  In particular, we received 2 license updates from the National Oceanic and Atmospheric Administration, or NOAA on March 21 and April 27. Our NOAA license authorizes Vigoride 3 to operate its camera in space. Then on April 28, we received a license from the Federal Communications Commission, or FCC authorizing Momentus to use radio frequencies to communicate with Vigoride.  Finally, on May 4, we received a favorable payload determination from the Federal Aviation Administration, or FAA, you may have previously heard this referred to as a Momentus license from the FAA. But in fact, what we needed and it have obtained is FAA "payload approval". As part of this review, the FAA consulted with other government agencies to determine whether the launch of a proposed payload would present any issues affecting public health and safety, the safety of property, U.S. national security or foreign policy interest or international obligations of the United States. The FAA payload determination was the final regulatory hurdle for the company to overcome in order to proceed with its first flight on Transporter-5, which, as I said, SpaceX is currently targeting for this month.  I'm proud of our team's efforts to ready to Vigoride spacecraft for its inaugural mission. The next step is for SpaceX to deliver Vigoride safely to orbit. Given the strong SpaceX track record, we have good reason to be confident that we will soon have our vehicle in orbit. We thank SpaceX for the partnership and cooperation they are providing to support our inaugural Vigoride launch. While the company has faced several regulatory challenges in the past 18 months, our substantial progress in implementing our NSA has resulted in obtaining the necessary government licenses and approvals for our planned inaugural launch. The team's focus on implementing the NSA will continue side-by-side with bringing forward the best product we can for our customers and to the benefit of our shareholders.  Turning to Slide 6. While Momentus plans to take some customer payloads to orbit and generate a small amount of revenue, the primary goals of our inaugural mission are to test Vigoride on orbit, learn from any issues encountered and incorporate the lessons learned into future Vigoride vehicles. Under our FCC license, the mission could last as long as 6 months. Our plans to complete test and demonstration tasks with the spacecraft in less than that time period.  As mentioned earlier, Vigoride 3 is currently made to the Falcon 9 rocket that SpaceX is targeting for launch this month on the Transporter-5 mission. The mission plan calls for Vigoride 3 to be injected into a sun synchronous orbit and approximately 500 kilometers altitude or just over 300 miles above the surface of the earth. After separating from the launch vehicle, Vigoride 3 is slated to go through a disciplined sequence of start-up procedures, including powering up, deploying its solar panels and establish sign communications with the ground stations that we will use to control the vehicle from Earth.  During Vigoride 3's flight, we plan to deploy 9 satellites from the vehicle. We also plan to operate space hardware to support a customer test of this hardware. All told, these services support a total of 3 customers using Vigoride. As customer satellites are deployed, we will recognize a small amount of revenue. Once we have fulfilled our obligations to our customers, we plan to operate Vigoride 3 in space through powered flight and test its ability to maneuver to different orbits.  Over the course of the mission, we plan to operate and monitor the performance spacecraft and its subsystems, including our propulsion system to inform future design iterations.  At the conclusion of the mission, we plan to deorbit Vigoride 3, so it burns up on reentry. In the history of space flight, it's common to experience issues, particularly on early missions. Our intention is not just to perform the planned flight demonstration mission and meet our objectives but also to find issues that we can correct on future flights. This approach is critical to our future success.  We plan to learn from any anomalies we experienced during our inaugural flight and apply the lessons learned to improve our technology going forward. Our core business objective is to become an industry leader, providing with transportation and in space infrastructure services for the burgeoning new space economy and our planned inaugural mission represents a key step along that path.  Turning to Slide 7. As I said on our March earnings call, we have secured 2 ports on the SpaceX Transporter-5 mission. Vigoride 3 has been made into one of these ports and on the second port, a third-party deployer system has been made to the Falcon 9 launch vehicle. This system, which is shown in the picture on this slide is made by one of our partners who is also handling the customer launch vehicle integration work for the second port. This system is slated to deploy in orbit 5 satellites or 4 different customers.  As I said in our last earnings call, this system do not provide the last mile transportation service to precise custom orbits that Vigoride can. However, it meets the needs of some of our customers in our backlog particularly those that don't need to get to a precise orbit, have less complex requirements and are looking for a lower cost way to reach lower orbit or LEO or LEO. This represents an effort to explore other market segments that are adjacent to our current addressable market with Vigoride. Offering a lower cost option alongside Vigoride allows us to address the market in multiple ways and serve the diverse needs of our customers more economically than we could if we were to fly every one of them on a more capable Vigoride vehicle.  Turning to Slide 8. We also continue to plan for our future beyond the first launch of Vigoride. During the first quarter, we signed launch services agreements with SpaceX that reserve space for us on 4 additional rideshare missions, including Transporter-6, which is targeted for October 2022; Transporter-7 targeted for January 2023; Transporter-8 targeted for April 2023; and Transporter-9 targeted for October 2023.  In all, we are now manifested on each of the dedicated rideshare missions that SpaceX plans to operate from now through the end of 2023. Recall that once we've established initial product liability, we plan to broaden our service offerings with Vigoride beyond the hub-and-spoke transportation mission. Demonstrating some of the technologies for these broader offerings is part of what we plan to do during these follow-on missions.  As an initial step towards broadening the product offering, we plan to carry a hosted payload customer on Transporter-6, which SpaceX is currently targeting for October 2022. This will allow us to demonstrate our hosted payload capability and grow our hosted payload business with other potential customers. Hosted payloads involve carrying a payload for a customer or Vigoride in which the payload receives different types of support, such as power, communications or being operated to test its performance space. We also plan to fly our first Block 2.2 Vigoride vehicle on Transporter-6. We are planning to introduce a reusable version of our Vigoride vehicle toward the middle of the decade.  We expect this move to reusability will allow us to provide more economical transportation services. It will also allow us to further expand the type of services we're able to offer our customers, including in-orbit maintenance, refueling of satellites, removing debris and deorbiting satellites at the end of their useful life as well as other satellite allied services.  We've been continuing to work ourselves and with partners on the technologies to enable provision of these services such as a robotic arm for Vigoride. We also plan to test a sensor package to enable rendezvous and proximity operations and a fluid transfer system for Vigoride to replenish its propelled tank space. We plan to begin on-orbit testing of some key technologies that we will need for reusable Vigoride on the 2023 SpaceX missions that we've booked.  Turning now to Slide 9. This slide provides an overview of where we stand in production of our early vehicles. So far, we've produced 3 complete Vigorides with 3 more in various stages of production. Vigoride 1 and Vigoride 2 are fully built and tested. As we've said in the past, we learned a significant amount from production of these early vehicles that we plan to retain in storage and potentially uses brown test articles in support of future Vigoride development.  I discussed the status of Vigoride 3 earlier in this call, but this chart provides a nice visual of its comprehensive ground testing campaign. Our integration and testing process is based on industry best practices for spacecraft manufacturing and testing. We continue to stress the importance of using ground testing, not only to validate our designs and engineering processes, but also as a critical part of a disciplined approach to put us in the best position possible for success on orbit. After our inaugural mission with Vigoride 3, we plan to begin operating vehicles from our improved Block 2.2 Vigoride configuration, beginning with Vigoride 5.  During the first quarter, we completed our Block 2.2 critical design review to incorporate design changes relative to the prior configuration. These changes include a new modular tank system that will allow us to swap propellant for payload depending on the mission requirements as well as a more efficient structural design and improved payload hosting capabilities. We now have 3 Block 2.2 vehicles in different stages of production.  Turning to Slide 10. We continue to build out and improve our executive leadership team, adding high-caliber individuals to bring the type of experience and skill sets that we need to grow our business. During the first quarter, we welcomed Jason Garkey as our new Security Officer. Jason reports to Security Director, Vic Mercado, who continues to lead our security function and implementation of our NSA, which is overseen by the Department of Defense and the Department of the Treasury. Receiving the government approvals required for the upcoming Vigoride launch is a testament to the big difference Jason has already made in implementing our NSA.  We're also building out our engineering, development, manufacturing and supply chain leadership, along with restructuring the organization and making sure our people have the resources they need to succeed including access to technical experts. Charles Chase recently joined our team full time as Vice President of Engineering. Charles is a world-class talent in innovation and plasma technologies. He has a 30-year track record at Lockheed Martin Skunk Works taking aerospace and defense technologies from concept to working prototype to production to retirement. Charles has already been an enormous asset to us through his participation in our Strategic Advisory Group, particularly when it comes to mentoring our junior engineering talent. We are lucky to have been able to attract him to join us full time.  We also welcome Nick Zello recently as our new Vice President of Manufacturing and Operations. Nick is another member of our Strategic Advisory Group, whom we are very fortunate to bring on full time. Nick is an expert in product development and manufacturing with experience across the aerospace, automotive, IT and construction industries. Most recently, Nick worked at Maxar Technologies where he served as Vice President of Small Satellite Operations and Delivery, among other roles. Prior to that, Nick held leadership positions at a robotics company and at General Motors.  Finally, Gary Bartmann also joined us recently as Vice President of Supply Chain. Gary brings deep expertise in supply chain management from his experience at Health Solutions, United Launch Alliance and Lockheed Martin where he led teams responsible for strategy development, execution and supply chain solutions. I would say given the preponderance of supply chain issues across the U.S. and global economies, we're fortunate to have a pro-like area on our staff who can make supply chain excellence a competitive advantage for Momentus. Consistent with the strategy that we discussed on our prior call, we've also been adding engineering talent below the executive level. And we look forward and we'll continue to opportunistically populate our company with talented individuals and develop them to position the company for a bright future.  Before I hand the call over to our CFO, Jikun Kim, for comments on the Q1 financials, I just want to reiterate my excitement for the progress the company is making a route to our first launch is not been without its challenges. But with our licenses in hand and our vehicle now at the launch site, the future is bright for Momentus, particularly compared to where we sat just a year ago. I'd like to thank our dedicated team for getting us here. I would also like to thank our customers and investors for their patience through this period.  I'll now hand the mic off to our CFO, Jikun Kim, and then we'll take your questions.
Jikun Kim: Thank you, John. Before I begin, thank you -- I would like to take the opportunity to thank Momentus team for their hard work and dedication as we progress towards our inaugural launch.  Turning to Slide 11. Our first quarter results reflect our ongoing progress in investments toward the inaugural launch. We have cumulatively signed contracts for approximately $69 million in backlog or potential revenues as of April 30, 2022. These contracts include firm orders as well as options. These options give our customers the flexibility to quickly opt into an available launch slot on short notice without requiring a separate agreement. The breadth of these signed contracts span across 25 companies in 15 different countries.  In general, our customers have the right to cancel their contracts with the understanding that they will forgo their deposits and milestone payments. If a customer cancels a contract before all of the payments are made, the resulting revenues will be less than the full value of backlog.  We ended Q1 with nonrestricted cash and cash equivalents of $136 million and approximately $24 million in outstanding gross debt. We started making principal payments on our term loan in March. We invested approximately $25 million in cash during Q1. We expect our quarterly cash investment rate to increase as the year progresses driven by higher operational tempo, increased vehicle -- increased launch vehicle milestone payments as well as continued investments in NSA implementation, public company infrastructure and debt repayments. We did not recognize any revenue during the quarter. And as John said, we will begin to recognize revenue once we begin flying customers to space and fulfill our performance obligations.  In the quarter, we generated approximately $25 million in losses from operations. On a non-GAAP basis, our adjusted EBITDA was a negative $17 million, which was approximately $1 million lower sequentially from Q4 2021. Please refer to the earnings press release issued today for the reconciliation of adjusted EBITDA to GAAP net income. Non-GAAP SG&A expenses for the quarter totaled approximately $8 million, approximately $1 million higher than the prior quarter. Non-GAAP R&D expenses for the quarter totaled approximately $9 million, unchanged from the prior quarter. We ended Q1 with approximately 81.8 million shares outstanding.
Darryl Genovesi: Thank you, Jikun. In a moment, we will move on to the question-and-answer portion of our call. I would like to remind participants that all disclaimers outlined at the outset of this call extend to the question-and-answer session. This includes our disclaimers relating to the non-GAAP financial information, forward-looking statements and technology underlying our planned service offerings. Tom, would you please remind participants how to enter the queue?
Operator: [Operator Instructions]. And the first question today is coming from Mike Maugeri from Wolfe Research.
Michael Maugeri: John, you talked a bit about the first launch coming up, but I'm just wondering, how will you be measuring success on that first mission?
John Rood: Well, thank you for the question. The Vigoride 3 mission that we plan to conduct later this month is a flight demonstration mission. Our objective is to test how well the Vigoride vehicle and its subsystems work in space. We will also deliver customers to orbit and generate a small amount of revenue. There are many systems on board, including communications, the propulsion system called the microwave electrothermal thruster, power systems like solar arrays, our reaction control system, avionics and other systems. While we rigorously tested the vehicle on the ground, there's really no substitute for actually flying the vehicle space and testing it there.  So at a high level, the purpose of the mission is to demonstrate the performance of Vigoride, assess, and then we'll see where we need to make improvements. With this in mind, I will say we'll learn from both sides of the coin, seeing what works the way we expect as well as the other side of the coin where adjustments may be needed because things didn't work the way that we expected. We've defined key performance requirements that we'll aim to meet these tasks include communications, operation of the hardware and the software, the systems that -- subsystems that I mentioned earlier, like propulsion and of course, the deployment of the customer payloads.  So again, in summation, the focus is on testing the vehicle, learning for many issues and then incorporating lessons learned on the future Vigoride vehicles.
Michael Maugeri: Got it. And then following on that, your relationship with SpaceX, it appears healthy while some of your competitors that might not be the case to that degree. Is that something that you see as a competitive advantage or an opportunity for you guys?
John Rood: We see it as a potential competitive advantage, and we do see it as an opportunity. We're very proud of our partnership with SpaceX. We appreciate the collaboration and consideration they have provided to us as we work through some of the legacy regulatory issues that the company had. Momentus is very pleased. I'm very pleased that we've overcome a number of challenges recently. And frankly, we know how hard that can be in a business. So while I wouldn't want to comment as to our competitors' relationship with SpaceX or their potential efforts to remedy their issues. I do know how hard that can be for customers and others to deal with that uncertainty. So frankly, we plan to be opportunistic during this period, and we'll be happy to accommodate and assist satellite operators who need a ride or whose plans may have been disrupted.
Operator: Your next question is coming from Robert Stallard from Vertical Research Partners.
Robert Stallard: A couple of questions for you. First of all, on the Vigoride 3, you've got your licenses in place now. Are there any ongoing licensing risks, though, for future missions?
John Rood: We don't anticipate any issues given that we've recently and just recently been through these processes for the Vigoride 3 launch, and we received all the licenses and approvals that we needed for our upcoming mission from the FAA, FCC and NOAA. We really appreciate the collaboration shown by these government agencies. And we don't see any noteworthy risks going forward. In fact, we've been in discussions with the FCC for follow-on missions. For example, for Vigoride 3, we applied for and received a special temporary authority license. The FCC has since advised us they would like us to apply for a Part 25 conventional license for Vigoride 5, which we've already done. We don't anticipate needing to apply for an FAA payload determination or seek a modification to our NOAA license for our next mission. Of course, we'll do so if modifications are needed or mission requirements call for it.  So we see this as a noteworthy area of progress for Momentus that we've overcome our challenges in this regard and secure the necessary licenses and approvals for our upcoming launch, and we don't anticipate any issues going forward for future missions.
Robert Stallard: Okay. And secondly, it's obviously been a very volatile 2022 so far in terms of macroeconomic issues and geopolitical risk. I was wondering if it's fed through in any way to the market demand for your services, be it on the commercial side or on the national security side.
John Rood: We continue to see very solid customer interest in the type of capabilities that we would provide. We continue to feel good about how that service offering is aligning with the -- with a broader market trend and soon emerge in a new space economy.  In our 10-K, for instance, you would see there's a number of third-party market forecasts that indicate the total addressable market for space transportation continues to grow rapidly. Once we've had the opportunity to fly Vigoride on orbit and demonstrate its capabilities, we are expecting to convert more customer interest to firm orders and backlog.  I would say you're right about the broader macroeconomic conditions. Of course, concerns about inflation, the war in Ukraine and elsewhere, putting a damper on the broader market. But similar to our peers, we've seen some impact on our stock price. But in terms of operational capabilities and our work there, we're not seeing that impact. As a matter of fact, we feel like we've been relatively successful at navigating things like the supply chain challenges facing our industry and the others. I mean we do have some impacts of that.  For example, one of the rooms in our facilities, lacking its doors right now because they're on a ship. I'm told off the coast that hasn't quite been unloaded yet and it's late. So there are supply chain impacts. But we haven't been able to -- we've been able to navigate those challenges in a way in our production of our vehicles where we've been able to maintain the schedule. And we're really focused. While there are some things outside our control like the inflationary pressures are certainly the Russian aggression in Ukraine. But I and my team, we're very focused on what we can control and improving the fundamentals in the business, and we think we're continuing to show improvements in overcoming our regulatory challenges and overcoming operational challenges to improve the capability and quality of the company.
Operator: Your next question is coming from David Strauss from Barclays.
Bradley Barton: You've got Brad Barton here on for David. Just quickly starting off. Now that you've got the company back on solid operational footing, is there anything you can say on the forward financial outlook?
John Rood: Yes. Jikun Kim, our CFO, will take that.
Jikun Kim: Yes. Consistent with our stated strategy, our focus has been to bring bigger eye to market as early as possible, and with the features and reliability that we know that our customer needs. As we look at our inaugural launch, we're pleased with the success of our deliberate and disciplined approach as far, and we plan on continuing with this approach, making progress both operationally and financially.  As we said on our prior earnings call, we have sufficient cash runway through the early part of 2023. These cash investments will secure future launches as well as future funds for Vigoride vehicles that will need to support these missions. We continue to make investments on the Vigoride vehicle to enhance its performance and reduce its operating costs. We expect customer order activity to pick up once we establish flight heritage, but it is customary for our customers to book our orders to 12-plus months out ahead of launch. So there will be some lag between the receiving of the orders to the recognizing of the revenues and ultimately, the profitability of the company.
Bradley Barton: Okay. And then I guess with sufficient cash to early 2023, how are you thinking about accessing the capital markets given how the stock has been performing recently?
Jikun Kim: Yes. So I mean, as John commented earlier, the capital markets have not been tied to anyone, right? But with that, we do have sufficient cash runway to the early part of '23. We are comfortable now with the capital that we have based on our destocking efforts and our ability to serve to support our near-term needs. But we will evaluate the right timing of our next capital market raise relative to the execution of the business plan.
John Rood: And I would just add, we plan to assess the market conditions based on when we think that's the correct conditions, then we'll go to market and raise some additional capital. But we're feeling comfortable with where we're at, at the moment.
Bradley Barton: All right. And if I could just squeeze one more in on Transporter. I think you said last quarter, the schedule to get to Transporter-5 was pretty tight. Can you say anything about how you're looking for Transporter-6 in October?
John Rood: Yes. As I mentioned, we are manifested on 4 follow-ons basics, Transporter rideshare missions beyond Transporter-5 starting with Transporter-6, which is scheduled. But there's Transporter-5 in October, then there's Transporter-6 scheduled for January of 2023. Transporter-7 in April of 2023 and Transporter-8 in October of 2023. So we're on 5, 6, 7 and 8 going forward. Similar to what I said last quarter, the schedule to prepare Vigoride 5 is tight. As I said last quarter, that we had a tight schedule to get Vigoride 3 finished and ready for launch. And our schedule for preparing Vigoride 5 for its planned launch in October is similarly tight.  We're working very hard to meet that plan schedule. We expect the inaugural mission though will be a learning experience. And we're going to use what we learned in that Vigoride 3 flight scheduled for as early as this month. So it's a learn from it. And then as necessary, we'll assess its performance. And if we should find any anomalies or any performance that is not what we had expected, depending on the nature and significance of that activity, then this obviously could affect the schedule for future launches. And obviously, if we were to experience an issue that caused a launch delay, we would seek to fly again shortly thereafter.  With the additional agreements we have with SpaceX through the end of 2023, we do have other launch slots available that we could utilize as necessary. So again, we're working hard, though, to make the schedule, but the schedule for launch of Vigoride 5 in October is tight.
Operator: Your next question is coming from Edison Yu from Deutsche Bank.
Edison Yu: Congratulations on hitting on the milestones. First question, I think this was alluded to earlier, SpaceX had a really, shall we say, high profile, I think, breakup of a relationship with a competitor of yours. And I was wondering, have you seen any sort of pickup in business or increased activity since that occurred, just given you can obviously fly anymore on those rideshare missions. I would think that's a pretty substantial amount of business.
John Rood: Well, thank you again for the question, Edison. We're -- as I mentioned earlier, we're very proud of the partnership that we've built with SpaceX. And they've been a strong partner to us. They've been collaborative, they've provided consideration where we needed it, and we thank them for that. I know from experience how difficult it can be to overcome the kind of challenges and business uncertainties that our competitors are facing. And as you know, SpaceX has been the primary space launch vehicle that they have used in others. And so certainly, I wouldn't want to comment on what, if anything, they are doing to address that issue.  As for us, we do think we're a very attractive alternative. We -- now that we have overcome our regulatory issues and are poised for our first launch. And after we begin generating some flight heritage from that launch, we do expect orders to pick up and that this will be an opportunity for us to secure some additional customers.  And so you -- well, I want to be cautious not to comment too much on our competitors and what their challenges are. Certainly, for us, we do want to be opportunistic in this period. And as I mentioned earlier, we would be quite happy to accommodate and assist any other satellite operator whose plans have been disrupted as a result of SpaceX decision with respect to our competitor.
Edison Yu: Understood. Understood. And following up, I know you mentioned there's actually several customers slated to launch. Are you able to disclose any of these customers coming up? Or maybe talk about the kind of payloads that will be deployed?
John Rood: Yes. On our Vigoride 3 mission that, again, is scheduled on Transporter-5 that -- SpaceX Transporter-5 mission scheduled for this month. We're going to have some paying customers on the flight. Our primary goal is just to reiterate -- to test Vigoride orbited since it's a flight demonstration mission. But we will release some customer satellites, 9 in total from Vigoride. And then we'll also test a piece of space hardware that another customer has provided. We have 3 customers on Vigoride, 2 of them, 1 is called FOSSA, F-O-S-S-A and a second customer is called Orbit NTNU from Norway. They're a university. And then we will also test some hardware, as I said, from another customer.  There is a second port, as you recall, that Momentus had purchased on the Transporter-5 mission. On one port will be the Vigoride 3 vehicle. On the other port, a third-party deployer system has been successfully made it to that port with customer payloads, one of which is a Momentous customer. Cal Poly Pomona, who we are proud to fly and take to orbit on that mission. There are some other customers that our partner is also planning to fly. So in total, 5 satellites will be released from that third-party deployer system.  Edison, as you recall, the use of that third-party deployer system is as part of the exploration that we have to look at other ways of doing business using rideshare aggregation and putting them on a lower cost, less capable system that still meets the needs that are less complex for some of these customers and some of the customers in our backlog and would give us a lower cost method of meeting their needs than Vigoride, which is more capable and able to take customers to precise customer orbits.
Operator: And there are no further questions in queue at this time. Ladies and gentlemen, this does conclude today's conference call. Thank you for your participation. You may disconnect your phone lines at this time, and have a wonderful day.